Vanessa Rossini: Good morning everybody and thank you for waiting. Welcome to Magalu's Conference Call about the First Quarter of 2022 Results. For simultaneous translation, please click on the Interpretation button at the global icon on the lower part of the screen and choose your preferred language, Portuguese or English. We inform that this event is being recorded and it will be made available at the company's website at ir.magazineluiza.com.br, where you can also find the release and the presentation both in Portuguese and in English. The English presentation link is also available at the chat. During the presentation, attendees' microphones will be off. Afterwards, we will start the Q&A session. And in order to ask a question, please click on the Q&A icon on the lower part of your screen; please write your name, company and the language. When your name is announced, a request to activate your microphone will appear on the screen. And you may unmute it to ask a question. Questions received in writing will be answered later by the IR team. Now I would like to turn the floor over to Fred Trajano, CEO of Magalu. Fred, you may begin.
Fred Trajano: Good morning, everybody. Thank you very much for participating in the call about the first quarter of 2022 of Magalu. And we have some highlights during this period, in line with what we have been communicating to the market since the last quarter. The first quarter marked by a recovery of operating margin, a major one, if we compare to the fourth quarter of last year, a major growth in marketplace and we will be talking about that during the presentation. The drop in normalization of the inventories around R$1 billion which we had already promised to the market and the normalization of sales from physical stores although the comparison base of last year was based on 3P. Consequences well, we'll be talking about that later on. I have all the executive team of the company and both myself and Roberto will be making the presentation and everybody will be available for the Q&A. First about sales. We grew 13% in the first quarter over 63% last year. So if we look 84% growth in two years online representing almost 75% of total sales of the company and the highlight continues to be e-commerce especially marketplace, although we have been seeing an expensive recovery of our operating margins. We see this growth higher than the market. E-commerce next slide, please. 150% vis-à-vis 2020, 16% regarding 2021 quarterly growth 50% in marketplace, over a very high base as well of the first quarter last year. 3P already participated in about 40% in the last few months on the online of Magalu a major growth even considering that we priced the take rate at 3P, as of the beginning of February. So two to three months with a higher take rate. And in spite of that, we were able to grow much more than the market, 50% in the quarter over a high base, online. It is important to look at the two years, the first quarter last year was the best in the market. So we had growth over growth. And on the next slide, you can see a major recovery of margins. I would like to talk about the growth of physical stores as well. You can see this is a big highlight of 4% to 6% vis-à-vis last year, 10% vis-à-vis 2020. And 2020 and 2021, we had stores closed because of the COVID pandemic. But this figure is positive in the sense that April and May continues on a positive trend. And last year the stores were already open. So we have a more positive scenario after a very difficult fourth quarter for physical stores in spite of the economic scenario. I consider this as good news. The highlight was the marketplace because it was a comparable basis. And physical stores, as I said had many stores closed because of the pandemic. But we were in a positive trend mainly as of April and May as well. So it is higher than the market expectation for the period after a very difficult quarter. And we continue to gain share in physical stores as well which is important and with relation to the margins. As I said at the beginning of the presentation, we have been communicated to the market that mainly 1P in durables we have a project of market recovery. And when I say when we talk about online and physical stores, and we grew our margin from 2.6%, adjusted to 5%. 2.6% in the fourth quarter of last year and 5% the first quarter this year many actions in place to make the sales more profitable and transferring costs to the final prices and resizing of the company as a whole, increasing efficiency, logistics, sent a lot of investments in marketing intelligence, ROE very high in marketing and very optimized, and a very big job that we have been doing and we were able to recover. And if we look at March, only that we published in our release, the margin was already six points. Historically, Magalu has always worked with operating margins higher than eight. And this never came down during the pandemic because of the two years of the pandemic and the tradeoff that we did for growth where the interest rate was 2%. It was worthwhile to do this tradeoff. But now, we believe that the margin, historical margins are more appropriate -- appropriate for this moment of high interest rates and the process of margin recovery that we started in the quarter will certainly continue to happen for the next few quarters. And this is a very big effect of the gross margins as well. And working with the margins that are compatible with what the market has been doing, and in spite of the margin increase, I repeat, that if we compare to the main players that publish their results have two year growth was higher than the market average. We are being able to recover margin, maintain this growth that we conquered during the pandemic. And I said during the quarter that in the years of pandemic, we doubled our size, the company as a whole. And mainly marketplace and we continue with base that is much higher than the market. So we always have to look at a longer history because every company has a different quarter. And this has to be taken into account in your analysis but I think this is very positive in this sense. And looking ahead, that continues to be the growth of marketplace. We are very confident in our strategy and post-pandemic we already have this participation vis-à-vis the total retail where the next growth will be necessarily through a very important process, which is to digitalize. Retail, if we don't take the analog retailers and make them sell online, we will not be able to exceed 15%, 20% online. The next cycle of growth will have to go through marketplaces helping the physical retail to digitalize. We started this with Parceiro Magalu 154,000 sellers were added to our base 180,000 overall. And our sellers are formal that is to say they have their registration with the federal government. So, everything is above board. So, we have this characteristic and we have been the marketplace adding the most sellers in the last few years and it is not concentrated and a very long-tail. We continue with a very strong process at walking the talk. And this week, we will be having the first major action of the Caravan in São José dos Campos. We will be going around the whole of Brazil and we will be looking for the seller the analog sellers need to be convinced they mean to get proximity and human warmth so to say and the Chairman of our Board who is a Treasurer and will be going together with all the Executives of Magalu, all the companies in the ecosystem syntax and logistic companies and the partnering companies they will all be there, show you their services to the Brazilian sellers. We will be giving free courses by ComSchool, which we acquired and we will be starting first in Maceió and we did a first one in São José dos Campos still without her presence, no reason. And we already reached 5% of the retailers in the region and we published 6x more sellers. And it has everything to do with multi-channel and Magalu's characteristics. And this is Magalu's phase. It is great, and it's going to be a big success mainly to bring these sellers in a different profile on-board. This is our best for the sustainable long-term growth of our marketplace. And the importance of the Caravan is to bring different regions on-board. Magalu has been bringing on-board the more diversified sellers to it's base. If you look here you can see that characteristic is that 70% of the new ones are long-tail and long-tail grows twice. It grows twice then the traditional categories vis-à-vis previous years in 50. We wrote twice in long-tail cohorts and it is very important to say that we place our bet on the location local delivery. We are developing a logistic network using the physical stores growing a lot and our first stop of the Caravan is going to be Maceió and then at ALAGOAS. We are bringing sellers of different regions of Brazil. And I would like to reiterate what we have and no other marketplace has, which is the physical store. I would like to reiterate that our physical stores continue to be a major support to marketplace besides the selling points. It's opposed to Agency 400 stores already worked well as postal agencies, over 15,000 sellers are already using our stores their Agency and with drop-off of products and this is very important. 13% participation of the store pick-up of 3P, 18 stores unless you're starting to participate in kind of and 15,000 sellers on-board for Magalu. They work as a ranking point of Magalu and a support point to sellers especially in what regard logistics. And in this sense, we are improving a lot. Our three pillar data it says I would like to remind you that it is the best in the market. 75% of our deliveries in up to two days, growing significantly and ultra-fast delivery, and we launched this in the quarter, but the 3P went from 22% to 31% already and with this originality that we are heavy with Parceiro Magalu and also the launch of our fulfillment service, we intend to increase further increase the participation of fast deliveries in 3P, it went to 30%. And the idea is to grow this figure is the next two years. And the difference is that our fulfillment continues within our rational, it has been developed in the same DCs of 1P we do not have exclusive DCs for 3P because we don't believe in the strategy that cost is too high. And the development that was done by the lab and our logistics team, they use the same docs. And the same network of 1P and the DC operator can work in a similar fashion with 1P and 3P. It is totally scalable, the same way you do in one DC; you can do with all the other DCs. So the store pickup is increasing significantly. So average delivery of up to two days and the fulfillment today has a reduction of the inventory of 1P that Roberto will be talking about and we generated a lot of room in our DCs. And we also have a lot of room in our trucks in order to deliver from 3P with a marginal cost for Magalu. And this is still integrated with multi-channel and it supplements our ultra-fast and ultra-regional delivery. So, we have the full circle here. And we trust that as well as we have a very efficient 1P. We are having 3P growing very fast with very fast delivery with a marginal cost only and this is very important. When you go to smaller chains, the cost is very high and our fulfillment also will have higher ticket products that will be benefited from that and we will have a very successful doing this kind of delivery to our sellers and making all the fulfillment for them. And here I would like to reinforce although we are the leaders in durables, this is a very important category. As I said before, when it comes back, it comes back very strong and we want to maintain our leadership and continue to gain share in durables, where we are doing an outstanding work in new categories. You already have 46% GMV coming from long-tail. Here we're talking about online very positive. We have the gaming category and computer peripherals for gaming that supplement the core of our categories electronics and 2 million average life. So the growth is much higher than the average of durables. So we are holding this, because these are the new categories. And we are very enthusiastic about that with some news in the next slide. We launched perishables this month. In the SuperApp, we are integrating all the VIPcommerce clients, which is e-commerce platform that we have acquired in March last year and SuperApp in our SuperApp. And it is totally developed for the market that is totally different from the others electronics and fashion. And it's basket bait, you have to choose a seller to buy a product and we made all these investments in the improvements of apps and we are integrating all the VIP clients. They are the biggest for supermarket in Brazil. And we have a QR scan app which is very beautiful. We are very super happy with that. And we evolved a lot in the integration of AiQFome in the SuperApp. AiQFome is going to be a very positive job R$1.4 billion GMV, 3 million orders and maybe the only food delivery operator that is profitable in Brazil. So we'll be able to do that still with the strategy of going to state and small towns. But we're thinking about getting to the large cities in grocery and food delivery. We integrated a SuperApp and we increase the possibility of growth in new categories. Now we have R$1 billion GMV in the first quarter, amazing job more than 10% EBITDA margin at KaBuM! is a highly efficient company. R$50 million in net income already included in our results showing a right bet in the company already integrated to Magalu's SuperApp. We have all the products being sold internally in my goggle. And we also integrated Magalu 1P at KaBuM! The organic customer base is really high and the audience is very loyal. This category has a very good projection of growth, a super niche that really grows fastest in the world. And finally, we had a very cool launch in our SuperApp, which is Compra Junto. Just sharing what we said before Magalu is one of the main companies in social in Brazil, with Lou and a 30 million followers in social networking. We're trying to bring social into our SuperApp. So we just launched Compra Junto and basically it is a process to invite customers to invite their friends and block offers, if all the friends come and buy. So it's the only and the first real social initiative in Brazil, which is very common in China, and 70% come in decoration home and groceries. We are certain that Compra Junto is going to bring a lot of people to new categories with a lot of discovery, mostly driven by social networking, trying to diversify categories and grow without investing in media. But these categories have lower ticket; the marketing cost is too high. So the most intelligent way to grow in these categories is via social commerce. Now ads. We have R$100 million revenue annualized revenue growing the first quarter year-over-year by 78%. A huge differential that we are launching now ads in search, which is a game changer for ads in general. As we can see, we have a little gift in our presentation. And if you're following online, you can see we have the link sponsored for specific search. We believe this is going to boost returns to sellers. And ads is what really makes a difference in terms of ads growth. Now I'm going to turn it over to Roberto Bellissimo. He's going to talk about FinTech and the results of the quarter, and then I'll come back for the Q&A section. Thank you.
Roberto Bellissimo: Thank you, Fred. Good morning, everyone. First of all, I'd like to talk about FinTech. We keep on having this growing increasing engagement and frequency of our clients and customers and monetize the ecosystem as a whole. Last week, we had two major announcements in our FinTech initiative. Firstly, for individuals. We launched personal loan in the digital account. So in March, we had 5 million digital accounts at MagaluPay. This is in our SuperApp, very fast growth, nearly doubling for the last 12 months the number of MagaluPay accounts. We also issued more than 3 million cards for the last 12 months. And we highlight the Luiza Card, Magalu Card is sold 100% online, and our credit portfolio total R$18.6 billion. And in this credit portfolio, we already have a portfolio of nearly R$2 billion personal loans for digital accounts for those who already own a card. And now we launched news with personal loan for those who don't have the card, they have the account. And also for any user of our SuperApp, who can register fast, have an account and can request a loan and it goes directly in seconds in our digital account. And you can see the experience on the right hand side. It's a very fast, intuitive, convenient solution. All our users in our apps more than 40 million, we already have 10 million customers pre-approved in order have our personal loan. So this is super news to further monetize our area oriented to customers. And as with sellers, we recently announced as well a super news, which is the corporate credit card, this time for our sellers. We had a survey and 97% of companies in Brazil don't have a credit card. There is a huge demand and also huge demand for a digital account for free. So today, we offer a free digital account to all our sellers. We also offer a POS machine. We offer loans, and now free advance and also the credit card, the corporate credit card for sellers. And that's something unique about it, proprietary technology. And this is issued and processed by Magalu using the FinTech that we acquired last year, this 55. And another important step in our FinTech strategy and next, we show the growth in our total payment volume growing by 89% year-over-year, reaching nearly R$21 billion and here we highlight all our performance areas. Next, a little bit about financial highlights. Freddie already talked a lot about growth. So just to underscore marketplace growth was 50%. Our e-commerce in total increased 16%, physical store growth 6%, and total sales grow 13% on an already very high base reaching R$14.1 billion. A super highlight is the movement of our gross margin 27.8% and our EBITDA margin going back to 5% in the quarter as a whole but evolving significantly over the quarter, and also exceeding 6% in March. And the net -- adjusted net income negative at R$99 million, about 1% of our net revenue, pretty much influenced by financial expenses and high interest rates. Next here we share the evolution of our adjusted EBITDA margin from 2.8% last quarter, fourth quarter of last year to 5% this year. And here we highlight the increase in gross margin. Freddie already mentioned several initiatives, which brought gross margins to a higher level. We highlighted the gradual transfer of inflation rates and interest rates to our customers. We reduced non-interest bearing sales and increased interest rates in interest bearing purchases. We also made adjustment in commissioning to our sellers, and the growth in marketplace per se, which was pretty strong and helps a lot the fee income, fee revenue which is 100% gross income. So we highlight the increase in gross margin. And as far as selling expenses, we saw this quarter a dilution vis-à-vis the last quarter of last year owing to the initiatives that Freddie mentioned. And those were deployed over the quarter and this March, expenses were already diluted even further. Considering that they were implemented over the month, the reflect tends to be more normal in the coming months, and also about non-recurring expenses this quarter they were lower, way lower compared to last quarter of last year. And over January and February, they're done. So for the future, we expect to see significant evolution in our operating profitability, which is important to address this moment of higher interest rates in the economy. On the next slide, a couple of words on working capital. As you can see this quarter, we reduced R$1 billion in inventory as we promised. We closed with a supplier position much smaller than December last year. So there was a variation in working capital vis-à-vis December of nearly R$3 billion, as for March last year, nearly R$2 billion, and it's important to highlight here that this is very seasonal. The first quarter usually has the seasonal effect and the upside is that we paid all suppliers of the purchases performed by the end of last year. And now we have a very low supplier balance, one of the lowest of recent times. It means that over the coming quarters, our payments will be much lower and consequently, a very positive reflect on operating cash flow in the future. So working capital is very seasonal and we have the chance to improve on a quarterly basis. Inventory turnover, we have a very good goods balance. And chances are in the last quarter, we can reverse this variation from the first quarter. And also very strong cash generation. As we always delivered for the last five years, we always deliver growth, generating cash from working capital. So this is our goal, and it was necessary to make this adjustment and reduce inventory R$1 billion. Short-term, we have this impact because these were purchases that we had made last year, but now they have already been paid and for the future, it have a positive trend and this is why the net cash -- adjusted net cash variation is not a cash burn, but rather it is a variation associated to working capital. And once working capital goes back to normal in seasonality in the future quarters, cash variation tends to follow and be positive. So we keep on having a net cash position, one of the greatest capital structures in retail, R$1.6 billion net cash. And on the next slide, we show more photo figures about cash flow. So for the quarter, we can clearly see the variation of R$12.3 billion to R$8.5 billion, pretty much concentrated in working capital variation and investment, mostly in logistics and IT R$200 million total and payment of the acquisition of KaBuM! around R$500 million and lease and interest R$200 million. So this variation in cash flow in the quarter once again, pretty seasonal and associated to working capital. And on the next slide we show, in 12 months, we increase the cash position from a level of R$6 billion to R$8.5 billion. Also with the impact of working capital variation, we will improve inventory turnover and they will come back to normal levels. And also with the capital that we funded last year, both equity capital and long-term debt, will have a very robust cash positions, one of the best for a first quarter, one of the greatest cash positions in our history, broken down into R$2 billion cash and R$6.5 billion as available receivables. On the next slide, a couple of words on Luizacred. Also a super highlight 7.3 million cards, Luiza and Magalu cards, more than 1 million Magalu cards increasing our base in more than 30% for the last 12 months. And it's important to say, we increase our sales in another 50% showing our customers are using more often and using our cards more often. We increase from R$8 billion to R$12 billion revenues at Luizacred, and we highlight growth both in Magalu more than 20% and also outside Magalu with over 50%. This is super important to activate the card and monetize Luizacred. And last but not least about the quality of Luizacred portfolio, we can see that we have one of the NPL -- 90 NPL levels, which is the lowest in the market increasing slightly vis-à-vis December and March last year. However, a level of 6.6%, which is way lower than the pre-pandemic level. That's why we mentioned March 20 and this shows the quality of Luizacred's portfolio, despite this scenario of an increase in delinquency in the market at large owing to inflation interest rates, et cetera. And despite the scenario, I mean, we are growing a lot, adding a lot of new clients, customers. And despite of that, we keep on having a very good quality in this portfolio. The coverage ratio is also very high, 173%. And when we show net income, Luizacred had R$34 million in BRGAAP and net loss of R$27 million in IFRS. And once again, these are the growth pains owing to a provisioning policy, which is quite conservative, the difference of R$60 million in net results, this stems from a difference of around R$100 million provisions extra in the quarter in IFRS versus provisions in BRGAAP. So once again, the quality and the level of provisioning is very conservative. We are confident that we are building a very healthy and profitable portfolio, one of the greatest rates of credit card growth in Brazil. So this is what we had. And let us open now to the question-and-answer session. Thank you.
Operator: [Operator Instructions]. We are waiting for the question because the microphone was mute. Joseph Giordano from JPMorgan.
Joseph Giordano: Good morning, everyone. Good morning, everybody. Thank you very much for the question. Roberto has already talked about one of the subject of my question. One of the -- of the e-commerce side we see, the company leveraging on the physical assets in order to grow. Thinking about the categories of long-tail, the ticket is a little bit lower, the average ticket. But I would like to know how we should think about the 3P reaching 50% participation in the e-commerce. It was 50% online and 50% 3P and online has already exceeded that. Why do you see 50% in 3P? And the second question has to do with the cash burn, looking at the variation of the net debt of the company. What is your best projection regarding this figure? Later this year, in terms of cash generation, thinking about the second quarter, you have R$100 million in annualized revenues here. And I would like to know about Magalu Pagamentos and the corporate account. Thank you.
Fred Trajano: I will answer the first one and Roberto will answer about the cash dynamic. Based on the growth rates of 3P of the first quarter, and even the fourth quarter of last year, we see that they are much higher. We are adding sellers to our base. We are growing mainly in new categories and our 1P is very robust. We are the market leaders in 1P and we also grew more than the historical average in the last few years, very much because of the pandemic 2020, 2021 we grew 3P. If it were not for the pandemic, the growth rate would be more normal. And people bought a lot of durables during the pandemic. And this category had a very good performance all over the world in the two years of the pandemic. And ultimately this postponed the higher participation. But we continue to grow a lot in 3P and looking ahead, the growth in share -- we have never had a target online vis-à-vis physical stores, because we want to grow all the channels. But naturally 3P will be growing more proportionally. All the work that we have been doing it per se the Magalu and this is a blue ocean. The kind of in Magalu, the Magalu Caravan and 3P because of all these endeavors will be a major part of the company's results and will continue to be a major growth vector such as it was this quarter. And it will continue to be that looking ahead in the long run. This is our view. 3P as contribution to the company's margins, it is being operated. Now in 3P was operated by the market. The take-rate was zero free shipping overall, even for products of R$10 of every ticket. And they were operating very irrationally. But then everybody became more rational recently. And this is something that Magalu likes because we have always operated grow with profitability and grow. This has to be materialized in practice with competition with healthy competition such as is the case now. And we will continue to grow more than the average of the market, as well as the marketplace contributed to our margins. We will certainly go back to historical levels. We worked for four years with these rates, very healthy rates. And the interest rates are at the very healthy level. And we will be seeing contribution on the part of our FinTech, mainly credit to sellers and to consumers and credit is what really makes money for the FinTech. So you activate the credit, but what really brings a result to the bottom line is credit. It adds all over the world operation of over 50%, R$400 million considering all our channels KaBuM!, Netshoes, Canaltech and Jovem Nerd et cetera. This is a major ecosystem that we have. So we can increase monetization quite a lot I would say with a lot of focus on credit for corporations and individuals. And this will give a major contribution to us to even exceed our historical levels. And this will be our future. And about CapEx as Roberto said, in the last five years, we generated over R$1 billion in cash per year. And last year, we talked a lot with you last quarter about the inventory levels. And we had us like imbalance there, but we have always had a positive cash flow. And our history speaks for itself R$1 billion on average, even if you consider last year and the year before, because the year before we had over R$3 billion and the -- it is generation of working capital higher than our result. We are right in the middle of a very complicated economic situation, but we will go ahead. Fred said it all in the second quarter last year, we had a plan. We already had the schedule of orders from three to six months. So it wouldn't be possible to stop buying. So we ended up having a higher level of inventory. And we had to disperse payments in the -- this quarter, the prepayment was made and the variation of working capital besides the natural seasonality, it was associated to this prepayment of this -- these purchases that we made last year, and this is no longer going to happen. This is not going to repeat itself. We already have a budget. We already have a schedule for purchases and sales. It is already finely tuned, and we continue to improve our inventory turnover. We already have an average term of purchases that is quite healthy already, but we are seeking an increasingly better inventory turnover. As Fred said, we have always generated cash and this should go back to normal levels in the second to third quarters and even more so in the fourth quarter, because it is always the best one and it is going to have the World Cup on top of being the best always. And we have Netshoes involved in that. So regardless of the macroeconomic scenario, the seasonality leads us to higher level -- higher sales with inventories more under control. And ultimately, you end up generating quite a lot of cash. And the suppliers are paid. And the first quarter of the next year or the following year, and this dynamic of the retail sector in terms of working capital is as I described. So the first quarter has this situation and after the first one, you have cash generation. And this is what we can see about cash generation as a whole. I don't know whether I have answered your question totally. Magalu Pagamentos this is already contributing. Magalu Pagamentos has been contributing quite a lot in the last few years both in margins and working capital and final profitability. Magalu Pagamentos in this quarter grew practically 75% vis-à-vis the first quarter of last year. GMV of marketplace growing 50% and 65% Magalu Pagamentos. You can see that our sellers are using our payment means more and more. And this has been giving a good contribution to our revenue, our fee revenue, our fee income. And as a consequence, it increases our consolidated gross margin and profitably. So we had a profitable quarter. This year the trend is a very good profit in Magalu Pagamentos and with more and more services being delivered, more products being offered to our sellers, including the corporate credit card that is issued by Magalu Pagamentos monetizes further our FinTech. Thank you.
Operator: Thank you, Joseph. The next question Bob Ford. Bob, can you hear us now?
Fred Trajano: I think so. We can hear you.
Bob Ford: Great. Thank you. Congratulations on the improvement and thank you for taking the questions, improved operating margins. What about the impact on long-term? Can you talk about the first lessons learned and the challenges and the response and engagement? MagaluAds, where are you in terms of data and functionality and what you think about long-term in ads?
Fred Trajano: Bob, thank you for the question. What is the first question? Operating margins, long-term and short-term. Bob, the increasing margins was something that we've been discussing with the market since the third quarter of last year something absolutely necessary for the reality of higher interest rates. So short-term is a trigger, so we can focus more strongly not only grow for 1P durables and also physical stores for durables. What I mean by 1P? I'm talking about these channels. That's the reality now. That's what we need right now. But the point is whenever you gain efficiency, it comes to stay. And when interest rates go down, which is our outlook, some people expect for the second half of the year, other things about only next year. But once it goes down, margins stay and bottom line significantly increases. So that's efficiency improvement that comes to stay. We also make use of crisis to go for efficiency. And then this efficiency tends to continue. As a reminder, these margins tend to go up not only with efficiency measures, but also with the new products that we are developing. And we want to scale up. Like I said, FinTech, we talked about Magalu Payments, but the credit operations for person for individuals and corporates always contributing to Magalu earnings. It's not something new for more than 40 years, we have consumer credit. So we know how to handle credit. It's nothing new for us. And NPL is fully controlled at 6%. So we believe we're going to have great news in the future when it comes to margin stemming from the operation, not only for individuals, but also corporate. And for ads, also a huge potential to contribute to margins in the future. So I'm very bullish when it comes to this and it's also going to be on our radar. I believe the market tends to demand more profitability by IT companies. The whole market is already operating on this base. So I believe everybody searching for more balance growth with profitability. All companies in Brazil and worldwide are keeping an eye on profitability, including startup companies. So it's a point of no return. The fundamental will be closer to valuation and companies in general open or listed companies are not will be open for that. And companies that were always rational with good balance like Magalu will also be in the game. As for ads, Fatala maybe you could tell us more about IT, the IT part for ads and Jovem and also the search service, just to give a flavor of what we do in IT. And then I'll ask Eduardo to talk about the market. Thank you.
André Fatala: Hi Bob. Speaking of MagaluAds. We made some changes last year with the acquisition of the in lock [ph] team. And we developed ad server. There was a huge work to adapt it to what we wanted to do in MagaluAds. We have the launch and now we started to work in order to have more your state in Magalu channel. We started first with recommendations with some window displays, and now we're going to search. And we are working with algorithms in order to include geo location of these products and also prioritize products that are closer to consumers in the ad. That's something we're working on right now. And the next step is to explore the existing traffic from other Magalu channels, Época, Netshoes, Canaltech adding to 450 million sessions per year. So we can use all the traffic and host our sellers' ads. So with the map, we are working on this. So today, we have this evolution in Magalu channel, and now we will move forward to take ads to other channels in the ecosystem. Edu, would you like to add?
Eduardo Galanternick: Like Fatala said, if you consider the platform we are, if we think about self-service, this is what's going to give us scale. We're very confident with this. On the other hand, our accountant verticals Canaltech from the moment we join our commercial forces and have significant growth in the revenue of these channels, developing special products and getting closer to the community of advertisers. The media and all the projects in Magalu so like Freddie said, it is hard margin in ads with these two drivers. One is the platform focusing on self-service, particularly for sellers. And on the other hand, a funnel for new advertisers and we are very confident on the team's performance. So we can keep on growing and delivery profitable results.
Fred Trajano: He also asked about the market Eduardo. Let me answer it. If you want to add, feel free to do that. As for the market, the market is highly important in terms of number of orders, something around 40% of the total number of orders. This is for 1P and we're also growing a lot in 3P including orders from e-commerce. And we should also consider AiQFome Bob. I think they all have the go to improve frequency. As a reminder, we are focusing on growth in 3P and the integration that we just announced in perishables. So this is in the early stage. We're very optimistic. I think the way to grow is by bringing local commerce and local stores into the platform, not centralized in 3P or traditional marketplace model. So I think we had the right back by buying this and integrating the SuperApp to make it economically feasible because trying to deliver washing powder to the Northeast by plane is not going to foot the bill. So the lower the ticket, the more local the delivery should be. So that's our goal for lower ticket categories.
Operator: [Indiscernible] from Citibank.
Unidentified Analyst: Good morning. Could we talk about fulfillment, Fred? What about the penetration of fulfillment? Looking at the percentage of the GMV of 3P and the economics of the fulfillment, how are you going to charge for that? Maybe in addition to commission charged from the seller. I would like to know about the economics of fulfillment overall Fred, please. And I would like to know if my interpretation is correct. 3P already has an incremental contribution margin to the remainder of the company and looking at the medium and a long run we see a more rational environment, as you said yourself, and it might change again in the future. Are you going to sustain the contribution margin by means of monetizing ads, as you said, or may be monetizing fulfillment as well, so that you may offset other investments. What is your idea for the medium and the long run for this contribution margin of 3P?
Fred Trajano: Thank you for the question. I'm going to talk about fulfillment and maybe Fatala would like to add something. But the rational, well, we designed a solution and we said that we wanted to have fulfillment be supplementary to 1P using the same DCs, the same docs, the same logistics operator and the same trucks and the fleet and the network, including all the bases of cross-docky that we invested a lot in. We invested a lot last year, over 1 million square meters of storage area and reducing the inventories of 1P. We have room to have sellers and partners using these areas that are already there. And sometimes, we have trucks that have idle capacity of 50%. So we do have room in order to complete these routes and supplement this with 3P sales. We already have Magalu Entregas growing a lot 30% of deliveries of up to two days. And the focus is to help going this -- bringing this up the idea is to increase the participation of two-day delivery in 3P. I'm not going to give you any guidance about that or any target. We went from zero to 30% and we are evolving quite a lot. We started four or five years ago. And zero deliveries in today is going up to 30%. So we have been working a lot there. Our fulfillment is totally accretive and we believe we will be generating profits. And what the cost is really marginal because we already have an installed base of DCs and we should further increase this area. We have already invested a lot 30% of this towards areas, our storage areas, it's important to reinforce this and the DCs and the cross-docking centers. So the rational is to tap into multi-channel. The store pickup, this figure for store pickup is going to increase a lot. And the cost of store pickup is very low for the company. It's going to be very low for the seller, and this is going to help us tapping into the same benefits of 1P in terms of multi-channel I believe that there's no going back in this rational track. I think we had many years of negative interest rates all over the world. So I do not see the possibility of Brazil going back in terms of interest rates. I see that overall investors and executives will be focusing on rational growth. Irrational growth makes no sense whatsoever any longer. So many companies are working with a lot of cash burn and they cannot go to the market and they are under pressure. So I believe there is no turning back. This is the way Magalu has always operated historically in a very balanced way. And we will continue to operate as such, mainly in an environment where the capital cost is so high.
André Fatala: Thank you very much, Fred. Just to conclude the contribution margin of 3P is going up with the inclusion of ads and some FinTech products that we are offering, yes. We already have a margin increase, which allows us to work in a more positive fashion. Marketplace is burning R$2 billion cash per year in some places and we are not in this situation. So we are keeping this upward trend, but with no hiccups along the way. We are going to be steady in this growth with no exaggeration. And we are being tougher in terms of margins in 1P and 3P. We just wanted to have positive margins and develop initiatives to increase it in the long run, but we need to continue to grow 3P over 1P. Thank you.
Operator: No further question, João . The next question is Irma Sgarz with Goldman Sachs. Irma, please go ahead.
Irma Sgarz: Hello, good morning. I have two questions. Firstly, just going back to fulfillment, I would like to better understand what changed your mindset. In the past, you already said fulfillment wouldn't make so much sense. Cross-docking -- offering cross-docking to sellers would be the solution that would make more sense to you. I understand the idle capacity as a very important rational, but I also believe there might have been another feedback or another learning, another lesson that changed your mindset. So what about the evolution in logistics for sellers in fulfillment? And the second question about Magalu Partner and Caravan core strategies, they make a lot of sense. Could you tell us more when you expect this to be a driving force to 3P growth? Is that something for the year or maybe for the second half of the year or for the future mid-term? Thank you.
Fred Trajano: Irma, thank you for your questions. Your questions give me the chance to clarify that this is not as strategic change. We never said we wouldn't have fulfillment. We also said our focus was on local delivery and cross-docking, and it remains the same. I don't believe fulfillment is the bulk of our deliveries in the future. It will always be an additional option for sellers who are willing to have product inventory here. We'll keep on growing a lot with cross-docking delivery and focusing pretty heavily on local deliveries. This is only something to add to logistic services and our fulfillment is not with an exclusive 3P, DC, which is the market standard by using 1P on strategies and adding to 1P with lower marginal costs compared to 3P only operations. So that was the uniqueness in our 1P, it's the only 1P that was profitable in the market. And we also applied to 3P, so I don't see as a strategic change, but just something to add to sellers. So for the future, I believe the fulfillment is not all -- never be the bulk of our deliveries, but an important option to provide faster delivery and a better service for sellers who are willing to pay for the service. So just underscoring is something to add and not a strategic change in the route. I don't remember the second question. The Caravan? Well, is it several Brazilian cities? There's something very important about Caravan. We want to attract very specific seller, the analog seller. We believe it's important to be closer to do the conversion. This is a clearly annual project. We're going to visit many cities this year and we'll keep on doing this next year. We are very excited. And remember, this is part of a higher value proposition is not only legwork. We have IT support for analog sellers. We have a hub for physical stores allowing to prepare. We have logistics with Agency Magalu. So we have a lot of hunter work and a number of other initiatives to bring analog sellers. And if we put them all together, they are already beginning to show the difference. We have the company; we have more formal sellers into our base for the last two years. We had two important pilot studies in April. So I'm very optimistic that if we add old initiatives to the Caravan, which will be the cherry on the pie, this will help us to deliver sustainable growth in the seller base and something important about Caravan is not only adding new sellers but sell more services of the ecosystem to these sellers like credit, POS machines, cards, and having the seller in all platforms in the group, not only Magalu but others and bring in restaurants to IT for me. So we want to materialize the ecosystem in the city, not only bring in more sellers, but also with cross-selling. Crystal clear. Thank you.
Operator: [Indiscernible].
Unidentified Analyst: Thank you for the questions. [indiscernible] factor for this improvement. Thank you.
Fred Trajano: Thank you for the question, Ileana. The gross margin grew in 1P in the merchandise revenue and price increases and the collection of charging interest from the final customers and this affect the gross margin from merchandises. And it went up in the last quarters, and then it went back to something similar to the first quarter of last year, when we talk about the merchandise one. When you talk about the gross margin of Magalu, overall, the parent company, you have the fee income helping a lot, which is associated to the growth of marketplace growing over 50%. When we look at Magalu, we see this and when we look at the consolidated figure where we already have the controlling company, we have the positive effect of Netshoes and cosmetics -- Época cosmetics, very important verticals for the parent company, 40% gross margin. And we see the consolidation of Magalu Pagamentos beat and FinTech with a very positive result, basically from service fees. And because of that, the gross margin of Magalu even well grows even more in the consolidated view. This is -- we have many factors coming into play, new categories, service fee, FinTech services. And we talk about merchandise specifically. You mentioned a relevant point because we were able to increase our margin vis-à-vis the previous quarters, selling R$1 billion in inventories that we mentioned. And in a quarter that is usually marked by the fantastic sale and promotions, et cetera. And we were able to do this because of an excellent operating efficiency with promotions at the stores, e-commerce in the two channels. We were able to reduce the non-interest bearing sales, increasing the interest bearing sales. And this has to do with all the campaigns and the mobilization of our sales force in physical stores and a lot of tests and e-commerce. And we were able to do this one year ago. And but non-interest bearing is up to 10 months tops in a very small proportion, much lower proportion than last year. And most of the sales are interest bearing, and now we charge higher interest rates and they were lower in the past. So you can see that many factors came into play so that our merchandise gross margin could go up in spite of selling over R$1 billion in inventory. So this is a whole range of factors and they are all sustainable, and we will continue to seek this kind of result. Thank you.
Operator: Thank you for the question, Ileana. The next question is by Danniela Eiger with XP Investimentos.
Danniela Eiger: Thank you for taking my question. Good morning, everyone. I have a couple of follow-up questions. First point about working capital. First of all, I'd like to explore the strong reduction in suppliers. I understand you said you came from lower purchase rates possibly now we have normal inventory levels, but does it also have to do with the dynamics of better cash payment negotiation or something that envisage an opportunity with more challenging terms, maybe having a more adequate gross margin at a lower price range. I'd just like to understand it was purely related to lower purchasing levels or anything related to deals. And for the future, you also mentioned a more adequate inventory level. If we consider China is still in lockdown and a risk of offer disruption, we can see shortage of products in the U.S. What about a possible resumption possibly in the second half of the year in Brazil with may be more focus on Q4? How could we consider this new inventory level? Does it make sense to consider this a possible resumption in the second quarter or second half of the year, or maybe a new composition, a new breakdown for the second half of the year? Now second follow-up question, just to make sure I got it correctly. What about the margin -- operating margin at eight? What is the timing you'll consider that makes sense to consider to go back to the levels? And the last question about delinquency? Actually it is very much under control, but could you tell us more about it more specifically for sellers? This is your risk and what about the behavior? And could you tell us more about how you envisage the mortality of these sellers considering this more challenging macro scenario? Thank you for taking my questions.
Fred Trajano: Hi, Danniela, good morning. Well, there are several parts to your question. Let me see if I remember them all. Firstly about the supplier dynamics, actually, when it comes to deadlines and terms, levels are absolutely healthy. And actually if we consider the scenario in which you're trading and negotiating to lower inventory levels and then working on them again with purchases effectively, you always have to check the better option, lower cost or better terms, and what's more profitable to you. We consider it was good to work on having a clean second quarter with no long payments to suppliers or lower inventory levels compared to the end of last year in order to run the second quarter onwards with a more balance operating margins. So we have clean cash flow for Q3. So we have here a good negotiation room, which is positive for the second quarter onwards. I still believe inventory is not fully balanced. If we consider the coverage term, we had better terms. So we still have some homework to do. It's not fully balanced, but the bulk was achieved in Q1. Having said that, I believe the current circumstance Danniela is way better compared to last year. Last year we had inventory in the second and third quarter, it was 170 and we were at the peak of heated conditions in the U.S. buying all products in the world. So they were well Coronavirus in the U.S., well, maybe $3,000 at that time. So what was explosion of consumption there? And it was a moment in which you had shortage of products in the world and dollars were rate and now dollar rate is five. And we see excess products, not as we expect to see in the second half of the year, because I believe the economy is going down the U.S. and we will continue to go down with this plan to increase interest rates. But my conversation with suppliers has to do with more availability in most of the suppliers with better dollar rates. So we have better conditions to buy, better cost. The exception is white line, which is still price pressure going to steel, but we have products to sell, no problem of availability. But I think we have better conditions and lean working capital for negotiations in the future with higher margins. But we believe we'll manage to evolve significantly in our margins and improve working capital in the future. Just to make it clear, Danniela, we are not given a guidance of eight. What I said is that we historically operated at margins of eight and we can naturally come back to them again. It was our standard and I'm fully convinced this will be possible again, but are not going to give any guidance. This is not a guidance, just a common that we already operated for four years in a row prior to the pandemic, all stores open with better balanced growth in margin. So we will have plenty of position to go back. The company has more scale, more bargaining power. It is bigger, more scale to dilute fixed costs. So I'm convinced this is possible, but it's not a guidance and we're not going to give a timeframe for that. I don't recall the other questions. Fabrício, if you want to add to the supplier data, feel free to do that.
Fabrício Bittar Garcia: Good morning, Danniela. About delinquency, you wanted to know about delinquency with sellers and we have a product which is a loan for sellers funded by our fatigue [ph]. We already provided loans for more than a thousand sellers of the 180,000 we have with focus on small sellers. These are sellers who need loans to invest in inventory and sell more in our marketplace. So these are sellers that we loan on average R$150,000 per loan. So the portfolio is relatively small. If we do the math around R$50 million only. We are making adjustments to the experience and also in the models. And soon we expect to speed it up and to scale up the product. It will increase in the future pretty much driven by the growth in our marketplace and our seller base as a whole. So delinquency today is very low. NPL is lower than 5%, and these are public numbers. We disclose this in our fatigue [ph] results. This is disclosed to the market. Delinquency is very low, so we are making adjustments. And the upside of this product is that firstly we have all the seller data in a daily base of transactions in our sellers score as well. That's why delinquency is very low as well. We make use of all this data for preapproval purposes and to approve the seller based on NPS, experience, quality, growth, growth rate, cancellation rate, all data made available by the seller on a daily basis. And what really bring richness to our approval model; we also combine it to external data naturally. So at the end of the day, the approval per se is already highly efficient. And on top of that, the seller has a very close relationship with us. They sell in the platform; they are willing to pay so they can keep on selling as well. So it's different from a purely transactional thing. There is a strong relationship, some interdependence as well and above all, we have receivables as a guarantee and in the future, we might even have inventories as a guarantee. So it is a very relevant operation to our strategy and to the growth of our FinTech and marketplace and the monetization potential. So delinquency is very much under control and really low less than 5% NPR.
Danniela Eiger: Excellent. Crystal clear. Thank you.
Fred Trajano: Thank you, Danniela.
Operator: Richard Cathcart from Banco Bradesco.
Richard Cathcart: Thank you. Thank you for the question and the information that you disclosed today. I would like to go back to the level of cross-sell that are incentivizing among your sellers and the SuperApp. Also the levels of organic traffic in this category, we apologize the sound was very bad.
Fred Trajano: Richard, thank you for the question. Thank you for the question about the SuperApp of Magalu. We understand that each one of the proposals, the value proposals specialists of generalists, they have a very good important role. Our SuperApp has the objective of doing one stop shop. This is the objective based on the marketplace. So we are able to drive the diversity of assortment and bringing on board many sellers then bringing this convenience and facility to our consumers. So there are many benefits that we are developing within our value proposal, a generalist, one cross benefits. And when we do cash back campaigns, et cetera, our consumers benefit from that. We have the per se Magalu, the Magalu Partner who is very relevant for both categories, both fashion and beauty, bringing on board, the small sellers, and then Magalu, we do have the purpose of involving the smaller sellers who otherwise would not be able to digitalize all by themselves. So we bring them on board by means of our sales Magalu. We give them support and help them digitalize. And this is very productive and we are achieving major results in the fashion category. Magalu has been growing at three digit for some quarters already, representing already 40% of our fashion sayings. And we understand that from now on, this will continue in this direction and in the same speed. And when you talk about cross-sell, you asked about cross-sell, we also see this benefit that in a Netshoes and Época are major sellers in our SuperApp. And we are able to drive the speciality of these specialty platforms, more focused on the category with higher ever tickets within Zattini, we can sell higher ever tickets, usually a more model product mix. And this is also driven between Magalu and Zattini just reinforcing the fact that we understand that each one of the specialist sites play their specific role independently. They do have their own audience just to illustrate 9 million clients if you take Zattini. So this is quite relevant. 2 million active users in Zattini, they are very engaged and we believe it is very important to continue to invest there from. And you asked about flow. We can see that in our specialist size Época, Zattini and Netshoes, we have an organic flow, which is higher these platform that are the destination for these categories. And they have already conquered this position. The organic flow is higher, very much driven by our apps as well. As I said before Zattini has 2 million apps installed and they're very much engaged. It is among one of the most installed apps in fashion. So we have to invest and then engage users via app. And this helps us a lot in terms of increasing organic flow. In Magalu, there is more paid accessing, but we have been falling this evolution of the increase in organic traffic as we create the base and the knowledge we are able to see this progressive evolution of organic traffic within Magalu as well.
Operator: Richard, thank you for the question. The next question is by Andrew Ruben with Morgan Stanley. Andrew, please go ahead.
Andrew Ruben: Hi, thank you for the question. Most have been answered, but I'd like to understand a bit more about KaBuM! in particular, what drove a continued strong margin and if there are any takeaways from KaBuM!’s margin trajectory that can perhaps the fly to the core Magalu business. Thank you.
Fred Trajano: Thank you for your question. Well, KaBuM! is a very special company in several aspects, it is in a fastest growing segment with a huge loyal base. Organic traffic is also huge and cash sale is very great. So we don't have a lot of receivables discount, although it is a high ticket cash stake is very high and very efficient as well. So SG&A is 10% is very low. Anyway, inventories are centralizing 50% or so. It's a very efficient operation with not so much competition, no major competitors. These are small operators in Brazil who don't take KaBuM!’s name. So it's very peculiar and unique. In all companies that we acquire, we also intend to bring know-how we did it with Netshoes and certainly with KaBuM! smart processes, more efficient operations. We're also going to use it in 1P as a whole, but this is evidence that very well managed 1P can deliver good results.
Operator: I would like to turn the floor over to Frederico Trajano. The Q&A session has come to an end.
Fred Trajano: I would like to thank you very much for participating in our call and wish you all a very good week.
Operator: Magalu's conference call has come to an end and the IR team continues to be available to answer any questions that you might have. Thank you very much. Have a good day.